Operator: Thank you for standing by. My name is Alex, and I will be your conference operator today. At this time, I would like to welcome everyone to the Westrock Coffee Company First Quarter 2024 Earnings Conference Call. [Operator Instructions] I would now like to turn the call over to Robert Mounger with Westrock Coffee. Please go ahead. 
Robert Mounger: Thank you, and welcome to Westrock Coffee Company's First Quarter 2024 Earnings Conference Call. Today's call is being recorded. 
 With us are Mr. Scott Ford, Co-Founder and Chief Executive Officer; and Mr. Chris Pledger, Chief Financial Officer. 
 By now, everyone should have access to the company's first quarter earnings release issued earlier today. This information is available on the Investor Relations section of Westrock Coffee Company's website at investors.westrockcoffee.com. Certain comments made on this call include forward-looking statements, which are subject to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. These forward-looking statements are based on management's current expectations and beliefs concerning future events and are subject to several risks and uncertainties that could cause actual results to differ materially from those described in these forward-looking statements. Please refer to today's press release and other filings with the SEC for a more detailed discussion of the risk factors that could cause actual results to differ materially from those expressed or implied in any forward-looking statements made today. 
 Also, discussions during the call will use some non-GAAP financial measures as we describe business performance. The SEC filings as well as the earnings press release provide reconciliations of these non-GAAP measures to the most directly comparable GAAP measures. 
 And with that, it is my pleasure to turn the call over to Scott Ford, our Co-Founder and Chief Executive Officer. 
Scott Ford: Thank you, Robert. Good afternoon, everyone. Thank you for joining us for this pivotal financial and operational update. As most of you know, we've been engaged in the development of what we believe is the world's largest roast to extract to ready-to-drink facility. And today, we are thrilled to announce that it is now operational, producing finished, sellable product, and we have commenced the full-fledged fill it up mode. 
 On top of this, our first quarter performance was simply outstanding across a number of fronts. Our first quarter adjusted EBITDA was up 32% over the prior year due to double-digit growth in every product segment, except for roast and ground coffee, which remained weak. Our Conway, Arkansas extract and ready-to-drink plant commenced operations on April 16, exactly as planned almost a year ago and solely based on our currently committed order book, we already expect to run at roughly 75% of installed capacity utilization in 2025, our first full year of production. 
 Our Select Milk producers JV for 2 aseptic ESL lines and requisite cold storage capabilities in Littlefield, Texas, continues on pace for an expected closing and funding in the third quarter of this year and a subsequent product launch in mid-2026. Our current indicated order book for this already reflects one line essentially spoken for. 
 We are in the midst of a meaningful string of sales victories across multiple customer channels and product types and our expected volumes for late '24 and '25 are anticipated to be materially higher than current run rates. With our Conway cold chain multi-serve bottle line and commercial operation, we are now in the product commercialization phase with several customers on our high-speed can line, and we continue to expect our glass bottle line to commence operations in the fourth quarter of this year, which remains completely sold out. 
 Given these results, our updated order book outlook and our ongoing expense reduction plans, we are pleased to reaffirm our adjusted EBITDA guidance range of between $60 million and $80 million for 2024. Further, we are introducing our first preliminary view for 2025 adjusted EBITDA of roughly $115 million. This view reflects the current state of our traditional business, plus the addition of those new customers and products that we are in the final stages of contracting, commercializing and preparing to manufacture. 
 With that overview, I'd like to spend a few minutes drilling down on the key challenges and objectives we are executing against over the remainder of '24 and '25. As I'm sure everyone on this call is aware, fuel and food inflation continued to disproportionately impact a growing segment of American diners and shoppers, which in turn continues to affect our roast and ground coffee volumes. And while part of our volume decline is the result of a customer moving some low-margin roast and ground volume, the more important declines seem to be directly attributable to ongoing food price inflation. We simply see no quick fix to the reality that many end consumers will continue to struggle to afford food and beverages, especially when purchased away from home, and we will be adjusting a number of our operating expenses accordingly in the coming months. 
 But of even greater impact to our business is the quickening transition of the coffee consumer from pots of hot coffee to cold-based and single-serve RTD style coffee offerings. This transformational shift plays directly into our strengths as we launched the Conway extract and RTD facility, and as our single-serve cup business continues to see meaningful share shift opportunities materializing. 
 In these instances, our growing team of product development, commercialization, logistics and operations professionals continue to be recognized across our industry as one of the premier teams to partner with globally. We are excited to be collaborating on a number of development and scale-up projects with key customers across industry segments who are global leaders in these quickly growing categories. It takes considerable effort and time to execute against this type of multilayer consumer-driven product shift. 
 But I believe the Westrock came to distinguish themselves as the leading partner for consumer-facing clients to work with to capture the benefits these rapid consumer and product shifts enable. You can clearly ascertain from our guidance updates that we are winning much more than our traditional fair share of these customer relationships. 
 We view this as critically important strategically because as customers choose their product development, new product launch and meaningful scale-up partners today, they are making decisions that will ripple through our industry for the next decade. Being dedicated to our customers' long-term success no matter the short-term dislocation pain to our operations or to preset self-imposed financial metrics has been a critical differentiator for Westrock in the eyes of our customers. 
 I fully acknowledge this sometimes painful reality and appreciate the great patience that everyone has shown as we upsized the Conway plant yet again and again for instant. But I, our executive team and our Board remain steadfastly resolute in our belief that this is how we must have acted in order to help our growing list of customers make the transition from hot to cold and from multi-serve to single-serve coffee and energy-based drinks. It was imperative that we say, yes, when asked for help. 
 For enduring the attendant dislocations over the past few years, we are today, partners with most of the leaders in the various industry sectors we service across multiple product categories. And we are being entrusted by more and more of them each quarter with a growing set of products as their strategic development, product development, ethical sourcing, logistics and production partners. The guidance we are sharing today about our late '24 and full year '25 adjusted EBITDA serves, I believe as the first, but definitely not last, major proof point of the wisdom that our investors and Board have placed in our leadership team to execute this nonconventional but value-enhancing corporate transition. I'll be glad to answer questions in a moment. But with that, let me turn the call over to our CFO, Chris Pledger, who will take you through the key metrics that underpin all of these remarks. Chris? 
Thomas Pledger: Thank you , Scott, and good afternoon, everyone. As Scott mentioned, our business performed well in the first quarter, highlighted by 13% sales growth in our flavors, extracts and ingredients platform and 8% gross profit growth in our Beverage Solutions segment, both of which contributed to 32% growth in our consolidated adjusted EBITDA. 
 On a consolidated basis, net sales for the quarter were $192.5 million, down 6.3% from the first quarter of 2023. The drop was largely volume driven with continued softness in our roast and ground coffee business. This was partially offset by a 42% increase in net sales in our Sustainable Sourcing & Traceability segment and 13% sales growth in our flavors, extracts and ingredients platform. Despite the drop in sales, consolidated gross profit was up 8.7%, driven by gross profit improvement in single-serve coffee and across flavors, extracts and ingredients. This drove consolidated adjusted EBITDA of $11.1 million in the first quarter of 2024, which is a 32% increase year-over-year, and our adjusted EBITDA margin was up 167 basis points year-over-year. 
 Moving to our segments. Beverage Solutions contributed $158.1 million of net sales, which is a decrease of approximately 13% compared to the first quarter of last year. While we continue to see strong results in our flavors, extracts and Ingredients platform, this growth was offset by continued softness in our traditional roast and ground coffee business. 
 As has been widely reported in the financial news and on other earnings calls this quarter, lower and middle income consumers remain budget-conscious. They're making fewer trips to restaurants and convenience stores. And when they do make trips, they're looking for ways to spend less, often by foregoing a beverage occasion. Likewise, U.S. grocery sales are experiencing similar volumes declines as shoppers absorb significantly higher food and beverage prices. These consumer-based decisions drive the volume drop we experienced in the first quarter. But despite the drop in net sales, gross profit in our Beverage Solutions segment increased 8%, driven by double-digit gross profit growth in single-serve and across flavors extracts and ingredients. 
 And adjusted EBITDA in Beverage Solutions for the quarter was $10.8 million, a 28% increase compared to our prior year first quarter, and adjusted EBITDA margin in Beverage Solutions was up 217 basis points. 
 And our Sustainable Sourcing & Traceability segment, sales net of intersegment revenues were $34.4 million during the first quarter of 2024, an increase of 42% compared to the first quarter of 2023, primarily due to increased volumes. Adjusted EBITDA in our SS&T segment for the quarter was $300,000 compared to breakeven for the first quarter of 2023. 
 Moving on to capital expenditures. During the first quarter, we deployed approximately $7 million of CapEx, primarily related to our Conway extract and RTD facility. Through the end of the first quarter, we spent over $200 million of the anticipated $315 million on the Conway facility, and we expect to spend approximately $90 million over the next 9 months of fiscal '24 and then the balance in the first half of 2025. As our Conway CapEx intensity abates and our Conway sales intensity ramps in the first half of 2025, we expect to be free cash flow positive in the second half of 2025. 
 At quarter end, we had approximately $188 million of consolidated unrestricted cash and undrawn revolving credit commitments. Our consolidated net secured leverage ratio as of March 31, 2024, was 5x based on our LTM adjusted EBITDA. As we said all along, we expect leverage to increase and remain elevated to the build-out of our Conway facility and these leverage levels are in line with our expectations. 
 Turning to our outlook for 2024. We are reiterating our expected consolidated adjusted EBITDA guidance of $60 million to $80 million in fiscal 2024. While we expect our second quarter results to look similar to our first quarter from an adjusted EBITDA standpoint, we expect meaningful growth in the second half of 2024 as our high-speed can lines and glass bottle lines commenced operation and the volume throughput in our Conway facility intensifies. 
 As Scott mentioned earlier on the call, we're also introducing preliminary 2025 consolidated adjusted EBITDA guidance of $115 million, which we expect to achieve as customer onboarding and product commercialization continues as planned. 
 With that, I'll turn the call back over to the operator for questions. 
Operator: [Operator Instructions] Your first question comes from the line of Ben Bienvenu with Stephens. 
Ben Bienvenu: Congratulations. 
Scott Ford: Thanks, Ben. 
Ben Bienvenu: I want to ask, as it relates to the 2025 guidance, which is great, super encouraging. What was it that gave you guys the confidence to give that sort of guidance, recognizing, hinges heavily on Conway we're 4 months into the year or so in 2024, that signals a lot of confidence, which is great. And I'd love to hear a little bit about kind of the critical path that helps you get here to offer that guidance to us for next year. 
Scott Ford: Thank you, Ben. This is Scott. And yes, it is a bit far out for what any normal company would do on a normal guidance time frame. But we've been going through something exceptional. We've been building the world's largest roast to ready-to-drink facility. And I thought it was important, and our board thought it was important that we share with you some level of indication about what we've already sold. 
 What we've put in front of you is what we've sold as of now that we are finalizing commercialization and actually getting ready to ramp up. We do have roughly 25% of the capacity of the facility yet to fill up, which we intend to do. And I think we will do probably in the next few months. But at this point in time, we wanted to give you a sense of what is it that we've accomplished with Conway turning on and being able to make commercial sellable product. 
 Well, it would generate, given our current run rate in our core business, and the new contracts that we've sold into Conway just coming on, it would generate that EBITDA number, and we wanted you to have some sense of what that looked like. I assure you it will change. It will move up or down based on whether things happen on time and on the marks that we think they're going to hit, but we had to start some place, so you had a sense of order of magnitude about what it is that has happened as Conway turns on. 
Ben Bienvenu: That's great and much appreciated. As we think about kind of the ramp and Chris, your comments were helpful on kind of how we should think about this next June quarter, should we think of the back half of this year as a step function change higher to get to the EBITDA range you've reiterated today for 2024 and then a steady ramp into 2025? Or Scott, I just heard your comments, I know this won't be a straight line. So anything as you expected, anything you could provide as you expected today recognizing as subject to change would be helpful in terms of us kind of calibrating our models into 2025. 
Scott Ford: Sure. We do have a little bit of Conway coming on in the back part of '24 in our current thinking. But most of '24 is work that we've done away from Conway that is just now coming through. We've been working on about an 18-month sales cycle, where we had a lot of things come into the last part of this year, the first part of this year that don't actually start production until late '24. That's a big driver. There is some EBITDA help in the back half of '24 as well, but it's -- I'm not sure what we've said about it. It's not a huge number. 
 You should see over the back -- I'd say it's really about a three quarter launch between the fourth quarter and the first 2 quarters of  '25 is where you should see the curve really accelerate on a run rate basis as things turn on in full. And this is our best kind of guesstimate the $115 million  is our best attempt at guessing what that should look like if everybody stays on the calendar hitting their marks, which frankly is as much up to our customers as it is us, but everybody has been hitting their marks to date. 
Thomas Pledger: And part of the strategy is to make sure that in '24 that we can commercialize as much as we possibly can for Conway so that you're able to run as much of Conway in 2025 as possible. So there'll certainly be a ramp. But the more we spend time commercializing what we've currently sold and sales throughout the rest of the year, the better the number that we get in 2025. 
Operator: Your next question comes from the line of Todd Brooks with The Benchmark Company. 
Todd Brooks: Congrats on sticking the landing as far as getting the plant up and running in April. Well done. 
Thomas Pledger: Thanks, Todd. 
Todd Brooks: Two questions for you. One, if we look at early-stage commercialization process, and you'd explained to us in the past that a lot of the timing relates to how much the customer needs to prove on the new lines, how long that acceptance period runs, which early take on the actual acceptance window versus how long it possibly could have been when we were discussing it in the future or in the past. 
Scott Ford: Holistically speaking, and not to get into which product and which SKU and which customer and all of that stuff. But holistically speaking, because a number of those things have to do with customers and also with approval processes that the customers, regulators, proving authorizing agencies all have to work through, we are ahead of schedule. Whether that will continue to hold is the $64 million question. But as of right now, we are ahead of schedule. 
Todd Brooks: And then second of 3 questions. The incremental 25% capacity that's not reflected in the fiscal '25 guidance, why wouldn't that be sold out going into '25, given just the demand... 
Scott Ford: It's exactly what -- yes. That's exactly the question I asked the sales force, and they have said, don't worry boss. We have got it covered. But we don't have it signed. So it's not in our number. 
Thomas Pledger: There's a group of customers that can sign-on ahead of time because they may have moving capacity from other vendors or they have other sources. But if you've got customers where they've only got 1 or 2 other vendors, they need to be able to see product produced on the equipment. And so a little bit of it is, once we're able to show we can produce the product and the time frame in which we said, the quality that we said, our ability to be able to sell out the rest of the line is, we feel pretty strong about that. 
Todd Brooks: Okay. Great. And then my final question in the comments in the release, Scott, you talked about just the sales pipeline development efforts and several new contract wins in the quarter. I'm wondering how broad the contract wins are. Now that you brought customers, many of them new to Westrock in through Conway. What type of contract wins are you getting? And how far does it branch out as far as cross-selling into single-serve or roast and ground or other potential opportunities? 
Scott Ford: Todd, it has been a mix -- has been -- we have brought customer -- we've been introduced to new customers through Conway, even just looking at Conway. Turned out to be we landed roast and ground coffee contracts. We received -- we started talking about roast and ground and we ended up getting single-serve cup contracts. We have one customer that came in that started in roast and ground is now looking at cups and now is wanting to move their beverage platform in. 
 What's nice about this is that we have a number of customers of various sizes from some of the largest retailers who have never launched private label in some of these categories to private label providers that want to switch vendors. That's always kind of part of it. But we've also got a very nice assortment of what we would call emerging brands in the RTD single-serve coffee space as well as some really large brands they're looking at adding products to their portfolio over time. And Conway turning on has been a great place for us to meet, sit down and go through all of the things we can do. 
 And I think we signed new contracts in every one of our product categories. And I think we signed new contracts in every one of our customer channels in the last 6 months from that activity. And I believe over the next 6 months, we will dwarf, this is just a personal guess, not in our guidance. I think we have the possibility of dwarfing those wins over the next 6 months. 
Operator: Your next question comes from the line of Matt Smith with Stifel. 
Matthew Smith: Just a couple of questions here. Last quarter, you talked about the wide range of EBITDA in 2024, reflecting -- maintaining some flexibility to prioritize customer onboarding versus kind of flat out running production through Conway. Can you talk about the phasing of that customer onboarding in using up some of the line capacity, meaning as you get into the second half of 2024 and you have cans and glass bottles running, are you still toggling back and forth between production and trying to fill the remaining 25% of contracts? 
Scott Ford: I think we've got all of the above going on, Matt. And we're also -- it's been less than 90 days since we spoke to you last. It's not like we have any huge amount of additional visibility into exactly when the third and fourth quarter commercialization, production runs will start. But so far, everything is on track. And so that's why we're able to, well, at least pencil out for them if we land that in '24, whenever that might be, what will '25 look like? And as Pledger has said multiple times, and it said in just, but it's actually true. We have a lot more visibility into what we're going to do in '25 than we do in '24 because of all the song and dance processes we have to line up with all of the various... 
Matthew Smith: I appreciate that. And one last one for me. You mentioned in the prepared remarks about a customer moving on from low-margin roast and ground. Can you just provide a little more color on to what's behind the customer moving on and what they're pivoting to? 
Scott Ford: What they're pivoting to, I'm not really privy to. It's not really my business. It was a large kind of wholesale type roast and ground piece of business that had been done, the old SS&T plant. And at the end of the day, as we exchanged out our accounting systems and started taking a hard look at all of our costs and all the redundancies and all of the support that, that pulled on, there were better customers for us than that one. 
 And also, we are managing the transition from customers where we do commodity work versus customers where we do important brand work for them. And in that transition, we had one move on, and it's about half of the volume decrease we experienced in the quarter over the prior year in roast-and-ground. 
Operator: Your next question comes from the line of Sarang Vora with TAG. 
Sarang Vora: Great. And my congratulations as well on opening of Conway, a big venture started, so great. 
 Just digging deeper on the 2025 EBITDA guidance, $150 million, that is driven a lot. The growth is coming mainly from the Conway. So can you help us understand the margin profile of this new business compared to your old business? 
 I know FE&I is significantly higher margin on the growth side. So just trying to understand like as we look out at 25, like how does your gross margin profile inflect as well and cost. So if you can share a little more color on the profile of Conway, that would be great. 
Scott Ford: Sure. And we will do a lot more of that for you as this year goes on. But at a high level, the Conway plant has a higher margin than most of our traditional businesses and parts of the Conway plant have a much higher margin, post profit margin, EBITDA margin than our traditional businesses, and that's in the extract world. And so the balance of where we are making extract and shipping it out, to some people versus then running it through a lower margin further process or packaging process, if you will. That will create what the blended margin of Conway will look like. 
 There will be places where we just do extract sales in bulk and in places where we do extract sales into a finished product. The finished product line, it's not the greatest WizBang business in the world from a margin and capital return business, but it's a really good business compared to -- when coupled with the extract sales business. And I think you're going to see the industry continue to line up in that regard. 
 Our core theory is simply this, Sarang. And I know that you want a specific margin number, which we will take you through later in the fall. The core principle is this. Our collective industries have faced off against our customers in the ways that the companies wanted to do business. They want to sell just extract. They want to just do a canning process. They want to just run a cold chain. They want to just do product development and have you pay them a fee. 
 That's the way the industry has been structured and what basically, we bet on was that people would want to see all of those things under one roof where they could then embed their own product development engineers and food scientists and then they could say, I want to turn this into a can, this into a bottle. This I want extract where I can fill my own bottle. This I want to blend with milk this I want to do with oat milk. This I want to do with an alternative plant-based milk. 
 Providing that vehicle for people to bring their own food scientists in and say, you tell us how you want to pick and match various functions and services we can provide, and we'll let you do that. that has garnered an immense response from our customers. Now you're asking me exactly how that set of tetris blocks will land and how the numbers will play out, and I can't answer that yet any more than I can give you the specific guidance by quarter for '24. But I think you get the idea that it is a meaningful lift to the core EBITDA that the business and the aggregate reports. 
Sarang Vora: No. I mean some of your margins are 2x your current margin profile. So I can understand, but I was just trying to see if you can have -- you have a curve or how high the margins can go. So that's helpful. 
 And I have one quick question on the expense reduction plan. I know you mentioned in the press release, you talked about it that you're trying to cut back on certain costs. So help us understand areas that were a bit out of control from a cost standpoint? And then how are you planning to address the reduction of cost or something? 
Thomas Pledger: Well, I think the turning on the Conway facility and the distribution center that comes along with the Conway facility, it really creates opportunities to be able to maximize the manufacturing footprint. So we can look to consolidate operations to where they're most profitable to be able to produce. And so now that the facility is up and running, now that we've got the distribution center that's associated with it, we're going back and looking at our -- at the rest of the operations to see how do you look at our business and how -- what can we do within our business in order to maximize the value of the platform we've created, other opportunities to rationalize assets in order to be able to streamline how we operate? And if we can save expenses in the process, then that's just a smart thing to be able to do. 
Operator: That concludes our Q&A session. I will now turn the conference back over to Scott Ford, Chief Executive Officer, for closing remarks. 
Scott Ford: Well, I think we've answered -- I think you guys have asked all of the right first level questions, and I think you've gotten what we know about them at each level. I'll say this, we were extremely pleased with our first quarter operations. We were -- we are making good progress on the margins and expenses in our core business. 
 At the same time that we've been able to turn on Conway exactly on time. I don't think there's many people that thought it would happen on time, and it was a thrill to see the first product come off and to see it ship out and sell. We are extremely excited about what the next 9 to 12 months hold on that. 
 It is still a period of great flexibility and flux, if you will, about exactly how it will land. But we thought it was imperative that we give you some sense. If the ship just carries on at today's course and speed, about what you should expect for 2025, and we hope that, that helps you frame up your valuation thinking because this is the kind of question set that we go through with our Board, which, as everybody knows, is largely made up of institutions and family offices that have carried the lion's share of the financing of all of these operations. 
 And so since they are asking that question and are worthy of the answer, we wanted to share it publicly as well. And we appreciate your support. We appreciate your interest, and we hope you have a good afternoon. Thank you. 
Operator: Ladies and gentlemen, that concludes today's call. Thank you all for joining. You may now disconnect.